Operator: Hello, and welcome to the Popular Incorporated Fourth Quarter Earnings Call. My name is Elliot and I'll be your coordinator today. [Operator Instructions] I'd now like to hand over to Paul Cardillo, Investor Relations Officer. Please go ahead.
Paul Cardillo: Good morning, and thank you for joining us. With us on the call today is our CEO, Ignacio Alvarez; our President and COO, Javier Ferrer; our CFO, Jorge Garcia; and our CRO, Lidio Soriano. They will review our results for the full year and fourth quarter and then answer your questions. Other members of our management team will also be available during the Q&A session. Before we begin, I would like to remind you that on today's call, we may make forward-looking statements regarding Popular, such as projections of revenue, earnings, expenses, taxes and capital structure as well as statements regarding Popular's plans and objectives. These statements are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today's earnings release and our SEC filings. You may find today's press release and our SEC filings on our webpage at popular.com. I will now turn the call over to our CEO, Ignacio Alvarez.
Ignacio Alvarez: Good morning and thank you for joining the call. In 2024, we delivered results that reflect the strength of our franchise and the continued stability of the Puerto Rico economy. Our annual net income of $614 million compared to $541 million in 2023. On an adjusted basis, we achieved net income of $646 million, 10% higher than in 2023. The adjusted variance was mainly driven by higher net interest income, offset in part by a higher provision for credit losses and higher operating expenses. Our strong fourth quarter loan growth helped bring our total loan growth for the year to $2 billion, an increase of 5.8%. BPPR generated loan growth across most business segments, led by commercial loans, reflecting the continued strength of the local economy and our diversified product offerings. Popular Bank achieved growth in commercial and construction loans. Credit quality remained stable throughout 2024. Non-performing loans decreased slightly while net charge-offs remains below our historic normalized levels. Our capital levels are strong, ending the year with common equity tier 1 ratio of 16%. Our tangible book-value per share of $68.16 increased by 14% year-over-year, primarily driven by lower unrealized losses on investment securities and net income for the year, offset in part by dividends and our share repurchase activity. Our robust capital and liquidity position allowed us to continue returning capital to our shareholders. During the quarter, we announced the resumption of buybacks with a $500 million stock repurchase authorization. In total, during 2024, we repurchased 2.3 million of our shares for approximately $220 million. We continue to believe that our shares are attractive at current prices. Additionally, in the fourth quarter, we increased our quarterly common stock dividend by $0.08 to $0.70 per share. Please turn to Slide 4. We closed the last quarter of 2024 on a strong note, achieving net income of $178 million, an increase of $23 million from the third quarter. These results were primarily driven by higher net interest income and a lower provision for credit losses. Credit quality trends remained stable in the period. Our net interest income increased by $18 million in the quarter and net interest margin expanded by 11 basis points to 3.35%, mainly driven by lower deposit costs. As I mentioned before, loan growth was very strong in the quarter with balances increasing by $913 million or 2.5%. We were happy to see that both banks contribute equally to this growth. During the quarter, we purchased approximately 160 million shares at an average price of roughly $96. Tangible book value per share decreased by $0.88 to $68.16, driven by higher unrealized losses in our investment portfolio and share repurchase activity in the period, offset by our quarterly net income. Please turn to Slide 5. Business activity in Puerto Rico remains solid as reflected in the favorable trends in total employment, consumer spending and other economic data. The current unemployment rate of 5.4% is not something that I would have expected to see in my lifetime. Consumer spending remained healthy. Combined credit and debit card sales for BPPR customers increased by approximately 5% compared to the fourth quarter of 2023. Mortgage loan balances at BPPR increased by $114 million in the fourth quarter, driven primarily by home purchase activity and our current strategy of retaining FHA loans in portfolio. Our auto loan and lease balances increased by $43 million compared to the third quarter as demand for new cars continued to be strong in Puerto Rico. The tourism and hospitality sector continues to be a source of strength for the local economy. Recently, several prominent luxury hotel brands have announced development plans for Puerto Rico. Passenger traffic at the San Juan International Airport increased by 10% in the fourth quarter compared to the fourth quarter of 2023 and hotel occupancy continues to be healthy. For the year, a record 13.2 million travelers visited Puerto Rico. We expect the ongoing disbursement of federal funds will continue to support economic activity for several years. We remain optimistic about the future of our primary market and are well positioned to support our clients during the coming years. On that note, I now turn the call over to Jorge for more details on our financial results.
Jorge Garcia: Thank you, Ignacio. Good morning and thank you all for joining the call today. Please turn to Slide 6. We're pleased with the quarter's results, particularly with the NII growth and the expansion of the NIM. As Ignacio stated, in the fourth quarter, we reported net income of $178 million, $23 million higher than the prior period. Net interest income increased by $18 million, driven primarily by lower deposit costs in both of our banks. We finished the year with a 7% year-over-year increase in NII. Loan growth was strong, increasing by $913 million in the quarter with each of our banks contributing similar amounts towards that growth. At BPPR, consistent with the activity throughout the year, we continue to see increases across nearly all categories, led by commercial lending, auto and mortgage originations. And at PB, we saw increases in commercial and construction lending. Ending customer deposit balances at BPPR, excluding Puerto Rico public deposits increased by approximately $600 million while average balances decreased by approximately $100 million. At PB, ending balances decreased by approximately $190 million and average balances decreased by approximately $30 million. At the end of the fourth quarter, Puerto Rico public deposits were $19.5 billion, an increase of approximately $750 million when compared to Q3. Average balances for public deposits were lower by $125 million. Going forward, we expect public deposits to continue to be in the range of $18 billion to $20 billion. Our net interest margin expanded by 11 basis points on a GAAP basis and 15 basis points on a tax equivalent basis driven by lower deposit costs and higher loan balances. Non-interest income was $165 million, flat versus Q3. In December, we completed the sale of the daily car rental business from our Popular Auto subsidiary. This business was not a material contributor to net income as the fee income it generated was mostly offset by depreciation expenses. This sale was completed at roughly book value and going forward there is little to no impact to the bottom line. This transaction helps to further simplify our business and will increase borrowing capacity at the Fed discount window. In 2024, this rental business contributed approximately $30 million to non-interest income. Therefore, in 2025, we expect quarterly non-interest income to be in the range of $155 million to $160 million, including the impact of the sale, offset in-part by initiatives geared towards increasing fee income. Credit metrics remained stable during the fourth quarter. The provision for credit losses decreased by $5 million to $66 million. Total operating expenses were $468 million, flat with last quarter. The largest expense variance in the quarter were related to higher professional fees, seasonal promotional expenses and personnel costs driven by incentives. These increases were offset by lower technology costs related to our transformation efforts as some of our IT projects have reached development stage and the costs are now being capitalized and lower equipment expense mainly due to a decrease in the vehicle fleet depreciation as a result of the sale of the daily rental business. In 2025, we expect total full year expenses to increase by approximately 4% compared to 2024. Our effective tax-rate in the fourth quarter was 20%, driven by higher tax expense income. For the full year, the effective tax rate was 23%. In 2025, we expect the effective tax-rate for the year to be in a range of 19% to 21%. Please turn to Slide 7. During the quarter, we continued to reinvest bond maturities into two-to-three-year US treasury notes, buying approximately $600 million at an average yield of around 4%. We expect to continue this strategy as a way to lessen our sensitivity to lower rates. In BPPR, deposit costs decreased by 22 basis points to 1.67%, mostly due to a 56 basis point reduction in the cost of market linked public deposits. At Popular Bank, deposit costs decreased by 15 basis points during the quarter. This change reflected recent market repricing and lower volumes in high cost deposits. Economic activity and demand for credit in Puerto Rico remains strong. In our US market, demand for credit improved during the fourth quarter and we benefited from continued draws in construction lines and our condo association lending business in Florida. In 2025, we expect consolidated loan growth of 3% to 5% with the rate of growth improving as the year progresses. We anticipate 2025 NII will increase by 7% to 9%, driven by continued reinvestment of lower-yielding securities and loan originations in the current rate environment, as well as lower cost of Puerto Rico public deposits and online deposits at Popular Bank. We expect NIM expansion to continue in 2025. Our ability to continue to reduce the cost of the deposits in the US and the deposit mix in Puerto Rico will continue to present the biggest risk to achieving the expected level of expansion in NIM. Please turn to Slide 8. Regulatory capital levels remained strong. Our CET1 ratio of 16% decreased by 39 basis points from Q3, mainly due to an increase in risk weighted assets from loan growth and the effects of capital actions during the quarter. Tangible book value per share at the end of the quarter was $68.16, a decrease of $0.88 per share from Q3, mostly resulting from increase on realized losses in our MBS portfolio, our stock repurchase activity and dividends in the quarter. During the fourth quarter, we repurchased approximately $160 million in shares at an average price of roughly $96. At the end of December, we had repurchased approximately $220 million of our existing $500 million authorization. Return on tangible equity for the quarter was 11.2%, an increase from 10% last quarter, driven by higher NII, lower provision expense and our buyback activity. We continue to anticipate we will achieve at least 12% ROTCE in the fourth quarter of 2025. And longer term, we as a management team, continue to be focused on achieving a sustainable 14% return on tangible common equity. With that, I turn the call over to Lidio.
Lidio Soriano: Thank you, Jorge, and good morning. Credit quality metrics remained stable during the fourth quarter with the mortgage and commercial portfolios continue to reflect credit metric significantly below pre-pandemic levels. Consumer portfolios reflect -- reflected increased delinquencies and net charge-offs driven by auto, personal loans and credit card portfolios. However, we are encouraged about the outlook given the performance of the most recent [indiscernible]. We believe that the improvements over recent years in risk management practices and the risk profile of our loan portfolio positions Popular to continue to operate successfully under the current macroeconomic environment. Turning to Slide number 9. Non-performing assets and non-performing loans decreased during the quarter, driven by Popular Bank. NPLs in the US decreased by $14 million, driven by the sale at book value of a $17 million commercial NPL loans. NPLs in BPPR increased by $3 million, driven by a $6 million increase in auto loans and leases. OREO decreased by $6 million, driven by sales of residential real-estate properties in Puerto Rico. Inflows of NPL increased slightly by $2 million. In BPPR, total inflows increased by $11 million driven by the mortgage portfolio. In Popular Bank, inflows decreased by $9 million as the prior quarter included the impact of a single $17 million mortgage loan. The ratio of NPLs to total loans held in portfolio decreased 5 basis points to 0.95%. Turning to Slide number 10. Net charge-offs amounted to $77 million or annualized 74 basis points compared to $59 million or 65 basis points in the prior quarter. Net charge-off in BPPR increased by $8 million, driven by higher consumer losses by $6 million. In Popular Bank, net charge-offs remained flat quarter-over-quarter. For the full year, net charge-offs were 68 basis points at the low end of our 65 basis points to 85 basis points guidance for the year. As we have discussed in the past, prior to the COVID pandemic, Popular's net charge-off were generally between 75 basis points to 125 basis points. For 2025, we expect net charge-off for the full year to be between 70 basis points to 90 basis points given current trends and the macroeconomic environment. Please turn to Slide number 11. The allowance for credit losses increased by $2 million to $746 million. In BPPR, the ACL increased by $4 million driven by a reserve increase of $11 million in consumer loans, in-part offset by a $6 million decrease in reserves for commercial loans. In Popular Bank, the ACL decreased by $2 million driven by improvements in risk ratings of US commercial loans, offset in-part by portfolio growth. The corporation ratio of ACL to loans held in portfolio was 2.01% compared to 2.06% in the prior quarter, while the ratio of the ACL to NPLs was 213% compared to 206% in the previous quarter. The provision for credit losses was $69 million compared to $73 million in the prior quarter. In BPPR, the provision decreased by $10 million, while in Popular Bank, the provision was $2 million compared to a benefit of $4 million in the prior quarter. To summarize, credit quality metrics remained stable during the fourth quarter. We are attempted to the evolving environment. We'll remain encouraged by the performance of our loan book. With that, I would like to turn the call over to Ignacio for his concluding remarks. Gracias.
Ignacio Alvarez: Thank you, Lidio and Jorge, for your updates. 2024 was a good year for Popular, continuing our positive earnings trajectory with a 10% increase in adjusted net income and improved operating leverage. Our results were driven by higher revenues, solid loan growth across each of our regions, stable credit quality and continued customer growth. In addition, we are pleased to resume our share repurchase activity and increase our quarterly dividend. We made great progress in our transformation efforts and some of the initiatives are already producing encouraging results. We will continue to transform our organization to ensure success for many years to come. This entails meeting the rapidly changing needs of our customers, providing our colleagues with a workplace where they can thrive, promoting progress in the communities we serve and generating sustainable value for our shareholders. I am thankful for the hard work and dedication of our employees throughout the year. We enter 2025 on a strong footing and optimistic about our prospect to the year as we leverage the continued stability of the Puerto Rico economy and the strength of our franchise. We are now ready to answer your questions.
Operator: Thank you. [Operator Instructions] First question comes from Brett Rabatin with Hovde Group. Your line is open. Please go ahead.
Brett Rabatin: Hey guys, good morning.
Ignacio Alvarez: Good morning.
Brett Rabatin: I wanted to start with the funding costs. And last quarter, you had the phenomenon of some high-net worth and retail deposits leaving the bank and seeking some higher yields. It seems like that abated significantly this quarter. Can you talk maybe about what you saw in trends with the core bank, high-net worth and retail related to changes in the funding costs and balances?
Jorge Garcia: Sure, Brett. Good morning. It's Jorge. First, we were very happy with the increase in deposits in the fourth quarter and general activity. If we look at Puerto Rico on a standalone, the non-public deposits were higher by about $600 million in the quarter and about -- on an average basis $100 million down. You asked about the non -- the high-net worth and commercial clients, that activity has continued. We've set a pace of about $100 million a month going into our subsidiary, Popular Securities for asset management. As you saw in our deck, the assets under management increased about over 30% during this year. A lot of that is supported by that growth from those clients. The increase in the fourth quarter did benefit from some seasonal activity for commercial clients. We also saw a lot of good traction and efforts from our branches in retaining clients and growing deposits, particularly around rate exceptions. During the fourth quarter, we also launched a new product targeted at our mass-affluent clients. This resulted in a shift in what used to be the zero-cost demand deposits into a low-cost transactional account. This affected about $660 million in balances during the month of December. I think you can see that in some of our detailed reports in our press release. But overall, we continue to work towards finding that kind of baseline of our deposits, that $600 million to $800 million level that we talked about in Q3. I think that's still kind of the estimate of potential at risk. However, given the results and the efforts of our teams, we're very happy with how the activity in the fourth quarter.
Brett Rabatin: Okay. That's helpful. And then just, yeah, if you gave it, I didn't hear it, but margin expectations are higher for the year, but you didn't really quantify that. If I back into it with the NII guide, it's about 10 basis points during the year. And when I look at Slide 22 and the maturities of the treasury notes, it seem like that could be stronger. Are you guys assuming that loan -- that deposit betas pick up or any thoughts on the margin from here and why it wouldn't be a little better than 5 basis points or 10 basis points increase throughout the year?
Jorge Garcia: Yes, we don't provide any NIM guidance, Brett. We do believe it's going to continue to expand in 2025, driven in-part by lower deposit costs. As you know, the Puerto Rico public deposits are market linked, short term rates did come down around 100 basis points in the fourth quarter and we haven't seen that full benefit in the 56 basis points that the deposits came down. And certainly, as we continue to reinvest maturities of the investment portfolio that's still running about $1 billion a month at higher rates than what they're coming off our books, that should help with the expansion of the NIM and contribute to NII growth.
Brett Rabatin: Okay. It just seems like that NII guide could be double digit. And if I could sneak in one last one around the credit card portfolio on Slide 28, it looks like it continues to increase in terms of charge-offs. Any color that you're seeing with retail in Puerto Rico or consumers in terms of any weakening relative to what you're noticing with or what's trending with the card portfolio over the past few quarters in particular?
Lidio Soriano: I mean, generally, I will say that we were a little bit late in terms of when you compare Puerto Rico to the US in terms of coming into the cycle in terms of delinquencies and charge-offs. I think we are -- my view is that we are at the late-stage of that process here in Puerto Rico. We are very encouraged by the performance, as I mentioned in the prepared remarks, our recent vintages and within the outlook for consumers as a whole is favorable given the macroeconomic environment and recent trends.
Brett Rabatin: Okay. Fair enough. Congrats on a strong finish to 2024.
Jorge Garcia: Thank you.
Operator: Our next question comes from Kelly Motta with KBW. Your line is open. Please go ahead.
Kelly Motta: Hi, good morning. Maybe circling back to the margin, I appreciate the commentary that the biggest risk to achieving that is the -- still the potential deposit pressures, the $600 million to $800 million level that you identified. I'm wondering, underlying that guidance, are you able to provide how much you're still expecting of that $600 million to $800 million to roll-off? I'm just wondering how much of that risk is already kind of baked into the outlook that you provided here?
Jorge Garcia: Yes. I mean, certainly the outlook considers our best estimates of when and how that corresponds, but I can tell you that we're working very hard so that doesn't happen. So we hope to under promise and over deliver on retention of those.
Kelly Motta: Okay. So it -- if I'm hearing you correctly and please correct me if I'm wrong, the guidance includes some outflow of the $600 million to $800 million, but not potentially all of it because of the efforts that you're doing?
Jorge Garcia: Correct, Kelly. I mean, it does include our best estimate over -- of that guidance. I mean, remember that we do expect to see some seasonality, first quarter deposits tend to benefit from the beginning of tax returns in mid to late March. And last year, we saw that continue into the second quarter. So what we're looking to see is where does that baseline come -- where does it settle and when does that happen? Our retail customers still are experiencing over 30% higher balances at pre-pandemic levels. So, we're continuing to work with our teams and try to get some more visibility on that, but certainly our expectations and the risk with those outflows are part of our guidance.
Kelly Motta: Got it. Thank you for the clarification. That's helpful. And then with your fee guidance, I appreciate there's about $5 million a quarter. I think you said that's $30 million impact to your outlook for fees potentially related to that business you sold, that implies some growth in some of the core businesses, I believe. Can you just take a minute to explain where you're seeing good traction? I know you've, through your efficiency efforts, been working towards some of these initiatives here.
Jorge Garcia: Well, on the fee income, we've had some success with what we call price for value with some of our commercial clients are still rolling out, some of those efforts. Also a big contributor to our fee income is credit card activity, both from retail and commercial clients. And we see continued demand in purchasing activity from our clients that benefit our non-interest income.
Kelly Motta: Got it. Last question for me and then I'll step back. The net charge-off guidance 70 basis points to 90 basis points implies an uptick from this last year and you've spoken of the consumer normalization. Just wondering if there's any cadence you're thinking of as you said you were a little bit late to tightening standards on the consumer book if the charge-offs would be more towards the first part of the year or just kind of wondering if we could walk through some of the moving pieces of that and the cadence of -- if there is some on how to expect that to flow-through?
Lidio Soriano: Yes. Generally, I will say, Kelly, that everything being equal, I respect the improvement -- just to see improvements over-time. And as I mentioned in the prepared remarks, we have seen improved performance by our recent vintages as those vintages become more prevalent in our overall balances that is going to lead to improved performance. Having said that, I mean, we are -- this quarter we're 74 basis points. So we are within the range that we stated for the full-year. So, in terms of cadence, I would say maybe slightly higher in the first half to lower than the second half given the -- everything that you said.
Kelly Motta: Okay, thank you. I will step back.
Operator: [Operator Instructions] We now turn to Frank Schiraldi with Piper Sandler. Your line is open. Please go ahead.
Frank Schiraldi: Good morning.
Ignacio Alvarez: Good morning.
Frank Schiraldi: Just one more on deposits on the, Jorge, the $600 million to $800 million. Just thinking through it, I mean, the work you've done there, I assume that reflects sort of specific deposits in specific places. I'm just curious if that's the wrong way to think about it? And did you see any of that maybe already flow out in 4Q and maybe replaced by other deposits?
Jorge Garcia: I mean, I think in terms of where we're seeing it, we look at it more on the average balances, I think that would be more of focus and those were down about $100 million in the quarter in Puerto Rico and on public. In terms of sources, where we've -- we know some of the client activity moving to asset management for higher yield particularly when it comes from commercial clients, we have a lot of access to the CFO treasurers of our large clients. So we have a good perspective. We don't see necessarily that being a significant source of outflows going forward. It's really general use of small-business retail clients that are benefiting from higher balances and they're just spending more and maybe making different decisions on working capital, lending -- borrowing activities, things like that. So, I'd be exaggerating that I can tell you individual behaviors that we can tie to, how that corresponds to the increase in balances that we saw in the fourth quarter, at the end of the fourth quarter.
Frank Schiraldi: Okay. So I guess that -- you're saying the $600 million to $800 million is then still potentially on the common. I think that's what you said you're still -- that's still the number at risk as of the end of the quarter.
Jorge Garcia: Yeah. And maybe the high bound is lower by the 100 that already went out, right?
Frank Schiraldi: Got it. Okay.
Jorge Garcia: I mean, I think the important message here is that we are actively making efforts that we believe will help us in retention and deposit growth. I think when you look at the focus of the teams and the efforts, incentives that are being evaluated to make sure that we are encouraging the proper activities by our teams. I think all those things make -- gives us some comfort that we're on the right track.
Frank Schiraldi: Got you. Okay. And then just on buybacks, just trying to think through cadence going forward. I think 1.7 million shares this quarter. Last quarter, it was about 600,000, although I think that was only two months' worth. So I guess would you say you were a little more optimistic here with the stock price down? Should we expect to see more of that sort of a little bit of volatility given where the stock price is as opposed to just assuming the same cadence every quarter here going forward, is that a more reasonable kind of expectation?
Jorge Garcia: Yes, I think that's a fair expectation. I mean, we -- I think over-time, maybe you'll get a sense of kind of a normalized level of buyback, but our goal with what we're doing is to have the level of flexibility that all of our peers have. And certainly, we saw some softening on the stock price after our third quarter results and we were opportunistic in buying into the lower price, but we do like the price where it's at and it's still attractive and we'll continue our efforts. And I think over time, you'll get a better sense of our repurchase activity.
Frank Schiraldi: Okay. And just lastly, just tied to that, when we think about normalized capital levels, obviously as a systemically important bank in Puerto Rico, it's some -- I would assume some excess capital is required there over peers, but I don't think it's whatever 400 basis points 500 basis points. So just curious, any color you can provide on your thoughts on a more normalized CET1 ratio or maybe just how that trends over time?
Jorge Garcia: Yes, beyond wanting it to be lower, and that we would not do a step function, right? We would favor a more gradual reduction in that. But we agree with you that while we do believe we need to operate with a higher-margin given our concentration in Puerto Rico, it does not require 400 basis points or 500 basis points.
Frank Schiraldi: Okay. All right. I appreciate it. Thank you.
Operator: We now turn to Gerard Cassidy with RBC Capital Markets. Your line is open. Please go ahead.
Gerard Cassidy: Hi, Jorge. Hi, Ignacio.
Ignacio Alvarez: Hi. Good morning, Gerard.
Gerard Cassidy: Can you guys -- good morning. Ignacio, I was caught by your comment about the unemployment rate being so low and you really didn't think it could be reached in your lifetime if I heard you correctly. And my question is this, I recall about 10 years ago when Puerto Rico was really in a tough spot, the out migration from the island to the mainland was very steady and people weren't leaving the island because they didn't like it is because the economic environment was pretty weak, now it's very strong. Are you seeing any evidence of people coming back to Puerto Rico from the mainland or the amount of people leaving has really diminished? Any color there?
Ignacio Alvarez: Well, I'm happy to report, Gerard, that the Census Bureau has reported that for the first time in many years, we had positive net in migration. Very small, 15,000, but it was positive. So yes, the trend has reversed and albeit it's small, it is positive. So that has changed. So you're right [Multiple Speakers]
Gerard Cassidy: Very good news. Yeah.
Ignacio Alvarez: So you're anticipating the trends.
Gerard Cassidy: Yes. That's really good to hear. Congratulations. The second bigger picture question, because of the unfortunate natural disasters that the island has experienced over the years and then, of course, COVID that we all experienced, there was an enormous amount of federal monies that came into Puerto Rico as well as the insurance monies, which I assume have all been dispersed from the natural disasters. Can you share with us -- do you have any idea what's left in terms of the dollar amount of the aid that Puerto Rico expects to receive from the federal government?
Ignacio Alvarez: Yes. I think the -- if you look at the majority if -- we're talking about the recovery volumes basically related to Maria, it's about you could -- there's about between $45 billion and $47 billion left. And that's between FEMA and HUD, which are the most -- of that about $44.8 billion is obligated by the Congress. So, there's a lot of money there and those are the two principal programs that we have.
Gerard Cassidy: Got it. And what are some of -- if you could give us some insights, what are some of the major projects that are remaining with some -- where that money might go to in terms of rebuilding the electrical grid or other types of major municipal type projects?
Ignacio Alvarez: There are really -- there really are two categories. One is FEMA and FEMA would be mostly centered around the electric grid as well as water. So there's a number of water projects for wastewater, water filter plants, flood control is another one, there's a lot. And there's some for highway. So mostly I'd say between its infrastructure. So it's mostly the electric grid. There's a lot on the water, a lot on flood control, for example, dams are being -- the dams are being revitalized, they're treading the dams, making them stronger. So there's mostly a basic infrastructure. Then there's another big slug of funds, which has to do with HUD and that's mostly related to housing. And so there's a number of programs to build housing for the persons who were impacted by Hurricane Maria. So those are the big -- the two big areas.
Gerard Cassidy: And is it safe to assume that it's a three to five year type period that this all would be rebuilt or will take longer?
Ignacio Alvarez: I think it will take longer. Different things will take longer.
Gerard Cassidy: Okay.
Ignacio Alvarez: I think some of the basic building of bridges and roads will be sooner, but the electric grid is an 8-year to 10-year project, I would say 7-year to 10-year project. Of course.
Gerard Cassidy: Got it.
Ignacio Alvarez: Got it. Hey, it won't all be done at once, but I think you'll see the money for the grid go out over a longer period of time. It's a more complex operation.
Gerard Cassidy: Got it. Thank you. Appreciate the color. Thank you.
Ignacio Alvarez: Thank you.
Operator: Our next question comes from Jared Shaw with Barclays. Your line is open. Please go ahead.
Unidentified Analyst: Hi, this is [indiscernible]on for Jared.
Jorge Garcia: Hi, good morning.
Unidentified Analyst: I guess maybe just sticking on this area of investments in infrastructure. There was that the outage on New Year's that left a lot of the island without power. I guess, were you able to see any change in, I guess, due to the investments in the maybe speed of getting back up to power or just the overall response to an outage like that relative to in the past?
Ignacio Alvarez: Yes, I mean there -- there's a long way to go still on the electrical grid. So I don't know the response of time. LUMA would say they probably responded faster than the past and perhaps they did and eventually made it back out. It came back a little bit sooner. But I think what people understand is that a lot of the work that has been done was simply the basics of putting the system back up. The thing of improving the system, a lot of that is in the works now because you haven't -- you can't expect radically different results yet because a lot of the investment for the distribution system and for new generation is in the works. So again, that's why I say it's a seven to 10-year period. I mean, they have done some adjustments. I think they're doing very basic stuff like putting the trees because Florida is a tropical island. So, believe it or not, they claim that 40% of blackouts are caused by trees hitting the lines. So, they have a major investment in that. But basically, I think we had still -- I think we're still in the early stages of the actual improvement of the system. The system is back up and they put it back up. And we expect blackouts to be less over time. And -- but the real improvement of grid stability is going to require those investments in the distribution system and in new generation.
Unidentified Analyst: Okay, great. That's good color. And then I guess just on the loan growth trajectory kind of ramping into the -- it seems like the upper-end of that 3% to 5% range by the end of the year. Is that like 5% plus annualized growth rate in the, I guess, the second-half of the year and maybe into 2026, a good jumping-off point for a kind of a steady run-rate for you guys?
Jorge Garcia: The 3.5% -- the 3% to 5% is the year-over-year growth. It would be what measuring, we stand at the end of December of 2025 and compare back to 2024.
Unidentified Analyst: Okay. I guess, was there any pull-forward from -- into the fourth quarter in terms of loan growth just with the higher-level it seems?
Ignacio Alvarez: Yes, this is Ignacio. We had a very strong fourth quarter and -- from both banks and a lot of big loans came in. So obviously that will probably impact the beginning of the first quarter a little bit because a lot of those loans closed at the end of the fourth quarter. But we're happy to start with those balances that are booked day one. So, it's going to be very positive for us.
Unidentified Analyst: Yeah. Okay. That's good color. And then just last one from me. It sounds like you're adding securities to the book at around 4% yield. What are they rolling off at over the next, like, 6 month, 12 months?
Jorge Garcia: Yeah, under 2%, like 1.5%. Yeah.
Unidentified Analyst: Okay [Multiple Speakers]
Jorge Garcia: Those are our longer-dated bonds, right, not our [indiscernible].
Unidentified Analyst: Okay, great. Thanks. That's all I had. Thank you.
Ignacio Alvarez: Thank you.
Jorge Garcia: Thank you.
Operator: We have a follow up from Kelly Motta with KBW. Your line is open. Please go ahead.
Kelly Motta: Hi, thank you for letting me jump back on. I just had some housekeeping items and one bigger-picture question I was hoping to get help on. One, I mean, the deposit flows were great this quarter and I think you mentioned part of it could be seasonality in those trends? Is there a way to quantify how much of those inflows could be seasonal? And can you remind us about the cadence of seasonality now that we're -- it's been a couple kind of odd years with the excess liquidity in the system. Just if we could get a reflector on kind of how that cadence goes through the year, that would be helpful from a modeling perspective?
Jorge Garcia: Yes, I mean, in the first quarter, we see some of the tax refunds to our retail clients. I think that was an increase that we saw last year that went into the second-quarter as people benefited not only from their normal tax return, but also a onetime rebate that the government of Puerto Rico did in 2024. And obviously we -- and if you remember, even in the -- we benefit on the higher average balances from all that activity early-on in the second quarter, but I think by the end of the second quarter, we had seen some stabilization of point-to-point. Third quarter, there's really nothing that we've identified as a driver that would help, that would be an inflow. And in the fourth quarter, the activity that we saw today -- or this quarter, I'm sorry, if there's some historical evidence to show it, but we've also seen and had quarters where we saw outbound amounts because of all that COVID money. So, I mean, we really are trying to get our arms around kind of that baseline, Kelly. It's part of why we're giving such a broad range of what we believe it's at risk. But again, I think the important message that we want to provide is that we are -- we have active efforts to try to mitigate that activity.
Kelly Motta: Okay. That's helpful. And then a housekeeping question regarding your expense guidance, the 4% increase for the year. I just wanted to clarify if that's relative to GAAP reported expenses for the year or you had a FDIC special assessment, I believe another kind of $6 million adjustment in 1Q that was higher? I was hoping you could just clarify the correct starting base on which sort of our plan.
Jorge Garcia: Yes, we gave the guidance on a GAAP basis for all the guide -- the metrics.
Kelly Motta: Got it. And last question for me. I know it's early and it's kind of hard to know how these things play out, but I saw last night Trump had an executive order on the flow of federal funds. I'm not sure if it impacts Puerto Rico or if anyone knows, but I was wondering if you could just give an update on how you're thinking of it and the potential risk or noise that could come from his ability to gum up the works here?
Ignacio Alvarez: Yes. Well, like you said, it's very early in the -- language in some of the executives orders are very broad, but I personally don't believe that they are directed at the recovery funds by the own statement of the administration. They've stated that their target is more the green energy initiative, the TEI initiatives, initiatives related to electric vehicles, promoting electric vehicles. So I will see -- the last executive already say they have to clarify in two weeks. I don't believe it was directed toward the -- toward against the recovery funds, but we'll see its broad language, but I'm very confident that most of the funds coming to Puerto Rico in terms of infrastructure recovery should not be impacted by their own words, so -- but we're not being singled out. Puerto Rico is being treated like any other state or territory. Obviously, we'll be watching carefully, but again, at least I'm relatively optimistic that we are not the target of many of these initiatives.
Kelly Motta: Got it. Thank you so much for entertaining the question.
Operator: [Operator Instructions] We have a follow up from Gerard Cassidy with RBC Capital Markets. Your line is open. Please go ahead.
Gerard Cassidy: Thank you. And as a follow up question and I apologize if you guys addressed this in the prepared remarks. You mentioned about changing, I think, the underwriting standards for the credit cards a little later than maybe some of the mainline banks. Can you share with us what type of underwriting changes you made for the new originations for credit cards versus what it was like 12 months or 24 months ago?
Lidio Soriano: Hey, thank you, Gerard. This is Lidio. Let me clarify that I mentioned was when you look at the performance of our credit card book or consumer book compared to the US, we entered delinquency levels and net charge-off or you saw the gradual increase in delinquencies and net charge-offs later than it occurred in the mainline. So that's the difference. But in terms of changes that we have made to underwriting criteria, I mean, we have -- we tightened our underwriting criteria. The FICOs that we lend to are much higher than they were when we made the changes.
Gerard Cassidy: Very good. Thank you.
Operator: This concludes our Q&A. I'll now hand back to Ignacio Alvarez, CEO, for any final remarks. Ignacio Alvarez Thanks again for joining us today and for your questions. We look forward to updating you on our first quarter results in April. And so everyone, have a great day. Thank you very much. Operator Ladies and gentlemen, today's call is now concluded. We'd like to thank you for your participation. You may now disconnect your lines.